John Iannucci - Chief Operating Officer:
Michael Rabinovitch - Chief Financial Officer:
Operator: Good afternoon, everyone, and thank you for participating in today's Conference Call to discuss BurgerFi International's Financial Results for the First Quarter ended April 3, 2023. Joining us today are John Iannucci, COO and Michael Rabinovitch, CFO. Following their remarks, we'll open the lines for your questions. Before we begin today, I want to remind everyone that this conference call may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements may be related to BurgerFi's estimates of its future business outlook, liquidity, store opening plans, same-store sales and restaurant operating margin growth plans, prospects or financial results, including the projected sales, restaurant EBITDA or financial results from the company's acquisition of Anthony's Coal Fired Pizza & Wings. Forward-looking statements generally can be identified by words such as anticipates, believes, estimates, expects, intends, plans, predicts, projects, will be, will continue, will likely results and similar expressions. These forward-looking statements are based on current expectations and assumptions that are subject to risks and uncertainties, which could cause the company's actual results to differ materially from those reflected in the forward-looking statements. Factors that could cause or contribute to such differences include, but are not limited to, those discussed in the annual report on Form 10-K for the year ended January 2, 2023, and those disclosed and other documents that the company files with the Securities and Exchange Commission. All subsequent written and oral forward-looking statements attributed to BurgerFi or persons acting on BurgerFi's behalf are expressly qualified in their entirety by the cautionary statements included in this conference call. The company undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements except as required by law. Given these statements and uncertainties, listeners are cautioned not to place undue reliance on such forward-looking statements. Also, the following discussion may contain non-GAAP financial measures. For a discussion and reconciliation of these non-GAAP financial measures, please see the earnings release for the first quarter 2023. I would also like to remind everyone that this call will be available via telephonic replay for two weeks starting today. A webcast replay will also be available via the link provided in today's press release, as well as on the company's website at www.burgerfi.com. As a result, today's call is being recorded. Now, I would like to turn the call over to Bergify's COO, John Iannucci. John, please go ahead.
John Iannucci: Thank you for joining us today, and we appreciate your continued interest in BurgerFi. Let me begin by thanking our entire team, franchisees and employees for their dedication and hard work in this challenging environment. Before I begin today, last week, Ian Baines, our Chief Executive Officer, announced his retirement effective June 7. As the Board searches for a new CEO, I look forward to leading the organization on an interim basis. Over the last year, I've immersed myself into both Anthony's and BurgerFi and believe we have two high-quality brands with great growth potential. In this role, I plan to work with our talented teams in driving initiatives as well as continued margin expansion. On behalf of the entire company, I wish Ian the best in the next chapter of his life. My plan this afternoon is to first recap our quarter one performance and then discuss current initiatives. Following that, Mike will review the quarterly financials in greater detail and reiterate our 2023 guidance. Key highlights for the first quarter include total revenue growth of 2% to $45.7 million. The growth is in line with the first quarter's contribution towards our annual guidance of $175 million to $180 million for fiscal '23. Consolidated system-wide sales were $73.4 million, compared to $73.1 million in the same period of 2022, which includes $40.3 million of BurgerFi and $33.1 million of Anthony's. Restaurant operating margins improved in both brands, more pronounced in Anthony's, where both continued stabilization of food costs and positive same-store sales flow-through was achieved. Adjusted EBITDA grew by 12% to $2.6 million. Importantly, we remain confident that we are on track to achieve our guidance of $10 million to $12 million in adjusted EBITDA for fiscal year 2023. Our focus remains on continuing to improve operational execution with the goal of increased sales and margin improvement in both brands for the year. During the first quarter, Anthony's saw a 3% increase in same-store sales growth. Notably, we are continuing to see sales recovery in our locations in the Northeast, which previously had lagged the improvement we have seen in our home market in Florida in 2022. The top line momentum in Anthony's has translated into margin expansion. At Anthony's, we ended quarter one with a store level operating margin of 17.9%, which is 310 basis points above the same period in the prior year. Sequentially, Anthony's margin increased 270 basis points from 15.2 in the fourth quarter. This margin improvement is a testament to our continued sales leverage, coupled with continued stable procurement costs. Both were pillars of our investment thesis underpinning our acquisition rationale. Looking at BurgerFi. System-wide comparable store sales decreased 4% from prior year. While this is an improvement from the trends we saw exiting 2022, we continue to work on improving the guest experience, marketing and menu innovation to increase frequency. We ended quarter one with the store level operating margin of 12.6%, which is 100 basis points above the same period in the prior year. Sequentially, margins increased 320 basis points from 9.4% in the fourth quarter. These improvements are resulting from stable procurement, pricing and controlling store operating expenses. Across both brands, we continue to expect a reduction in food costs comparatively and the opportunity to continue operating margins, compared to the prior year. This is primarily a result of stabilization in input prices, especially chicken wings and beef prices but also as a result of the procurement activities that the team has been very busy implementing over the course of last year. These activities include things like changing our suppliers and negotiating an existing suppliers to get the best possible price. Now I would like to update you on some of the strategic initiatives we are working on to improve sales and operations, starting with BurgerFi. We are having a lot of fun with BurgerFi's LTO program. In February, we launched the Barbecue Rodeo Burger, which won the Very Best Burger Award at the 2023 South Beach Food and Wine Festival Burger Bash. As a result of its success, we have extended this LTO and launched a new Patty Melt aversion to further drive interest in our brand and our products. The 100% all-natural Angus beef burger patties grilled with charred jalapenos and topped with pepper jack Cheese, home-made crispy haystack onions and tangy Memphis sweet barbecue sauce. It's served between two pieces of Texas Toast for savory sweet and spicy flavor profile. Additionally, ahead of St. Patrick's Day, we launched a new mint shake with Oreo. The sweetened minty flavor profile is a fun take on one of America's top three favorite ice cream flavors, mint chocolate chip, and is based on our signature cookies and cream with Oreo custard shake. Around St. Patrick's Day, guests look for fun ways to celebrate their love of green treats. This was the perfect opportunity to revamp our cookies and cream with Oreo custard shake and make it minty green. Recently on May 2, we debuted a new Texas Toast Patty Melt LTO. The new Texas Toast Patty Melt features 100% all-natural Angus beef, melted American cheese, caramelized onions and BurgerFi's signature Fi Sauce, all pressed between two pieces of Texas Toast. And finally, in late April, we held a BurgerFi franchisee summit in Kissimmee, Florida for our franchisees, general managers, restaurant support leaders and our supply partners. This is the first time that we hosted our convention in person since the pandemic began, and the energy level and enthusiasm couldn't have been higher. It was great to see old friends and meet new ones as everyone strategically aligned to bring our love of the brand to our guests in new ways. Now turning to Anthony's. We continue to lean into digital marketing and our loyalty reward program to drive engagement. This has been paying dividends as seen in our increase in same-store sales, especially outside of our home market of Florida, which have lagged in the recovery during 2022. In April, we launched a new LTO with Mike's Hot Honey. Hot Honey is a very popular flavor profile, especially when paired with pizza. The new LTO features a thick-cut pepperoni pizza made with fresh mozzarella and the brand's signature imported Italian tomato sauce topped with a drizzle of Mike's Hot Honey. Anthony's famous pressed jumbo coal-fired wings are also being topped with Mike's Hot Honey for the best blend of sweet and spicy. Anthony's also introduced a new improved wine menu to all its locations featuring 11 new wines and Proseccos. We are excited about this new menu launch as wine and spirits are a high-margin part of our business. Now turning to development. As of April 3, our portfolio consists of 112 BurgerFi restaurants, 27 corporate owned and 85 franchised and 60 corporate-owned Anthony's. During the first quarter, we opened two new franchised BurgerFi restaurants and two locations transferred from franchisees to corporate owned. We kicked off our 2023 development in January with the opening of a BurgerFi franchise in Newark Liberty Airport. Airports continued to deliver high volumes and continue to be a growing part of our development strategy. We plan to grow our presence in airports across the country in 2023 with the second location in Fort Lauderdale-Hollywood International Airport opening later this year, with several others under negotiation for later this year and into 2024. In February, we opened a beautiful new franchised BurgerFi in Orlando's O-Town West, one of Orlando's most desirable destinations featuring restaurant, retail and entertainment spaces. For the full-year, we still plan to open 15 to 20 new restaurants, all of which will be franchised. Included in this number is one new franchised Anthony's location. In the second quarter of 2023, we opened one franchised BurgerFi location, with a second franchised BurgerFi location expected by month end. As a part of our development plan this year, we're excited to launch our first-ever co-branded Anthony's and BurgerFi location with our franchisee NDM Hospitality Services in Kissimmee, with an existing BurgerFi expected to be opened in the third quarter of this year. Our agreement with them calls for three franchised Anthony's locations in Florida over the next two years. The second and third Anthony's locations through the NDM agreement will both be the freestanding, smaller Anthony's prototype slated to open in the Miami World Center development near the Miami Brightline Station. In closing, we have two very high-quality brands that are on trend with the consumer and are laser-focused on enhancing operations and driving sales to achieve profitable growth. We further believe we're in the early innings of our growth story with significant white space ahead. Once again, I'd like to thank all of our team members for their tireless efforts and dedication. I'll now turn the call over to our CFO, Mike Rabinovitch, who will provide additional commentary on our first quarter 2023 performance. Go ahead, Mike.
Michael Rabinovitch: Thank you, John, and good afternoon, everyone. First quarter total revenues were $45.7 million, increasing 2% from $44.9 million for the same quarter last year. Anthony's contributed $33.1 million to revenues in the current period. The increase in revenue is a result of Anthony's positive same-store sales, partially offset by a decrease in same-store sales at BurgerFi. Shifting to our individual brands' results. The BurgerFi corporate-owned restaurant sales increased 8% to $10.2 million, driven by the addition of new corporate-owned restaurants over the last year, offset by a decrease in same-store sales. BurgerFi system-wide store sales decreased 4% for the first quarter, compared to the same period in 2022. For corporate-owned BurgerFis, same-store sales decreased 6%, and franchise restaurant same-store sales decreased 3%. System-wide sales for BurgerFi in the first quarter decreased 1% to $40.3 million, compared to $40.6 million in the year-ago quarter, primarily due to the decline in same-store sales coupled with the closure of underperforming franchises. BurgerFi's restaurant-level operating expenses decreased 100 basis points to 87.4% of sales for the quarter, compared to 88.4% in the prior year's first quarter, primarily due to lower input costs, partially offset by loss leverage on fixed costs due to the same-store sales declines. Turning to Anthony's. Restaurant sales were $33.1 million in the first quarter, compared to $32.5 million in the prior year. The increase was driven by a 3% increase in same-store sales, when compared to the first quarter of 2022. Regarding restaurant profitability, Anthony's restaurant-level operating expenses improved 310 basis points to 82.1% for the quarter, compared to the prior year's first quarter. As John noted, we are beginning to see a stabilization of commodity costs, especially chicken wing prices, and we expect operating margins to continue improving throughout 2023. On a consolidated basis, we reported a net loss of $9.2 million in the first quarter, compared to a net loss of $13.6 million in the year-ago quarter. This year's net loss included $4.7 million of share-based compensation expenses, $3.2 million of depreciation and amortization, $2.1 million of interest expense, $900,000 of restructuring costs, $300,000 of merger acquisition integration-related costs, and $300,000 of legal settlements included within general and administrative expenses. Adjusted EBITDA grew 12% in the first quarter to $2.6 million, compared to $2.3 million in the prior year's first quarter. Moving on to the balance sheet. Our cash balance at April 3 was $9 million, compared to $11.9 million at January 2, 2023. When considering our available-but-undrawn $4 million line of credit, we have $13 million of liquidity at the end of the quarter. The decrease in cash was the result of term loan and line of credit repayments in capital expenditures, offset by cash produced by operations. We are also in compliance with all debt covenants at quarter end. Now turning to our fiscal 2023 outlook. We are reiterating our 2023 guidance, which is the following: total revenue of $175 million to $180 million, which assumes a low single-digit increase in same-store sales; the addition of 15 to 20 new franchised restaurants, including one new Anthony's; adjusted EBITDA of $10 million to $12 million; and we are expecting capital expenditures to be approximately $2 million for the full-year. With that, operator, please open the call for questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Peter Saleh with BTIG. Please go ahead.
Peter Saleh: Hey, great. Thanks for taking the question. Just wanted to ask about the trajectory on same-store sales as we go through the year. I think your low single-digit same-store sales guidance suggests some -- I guess, a meaningful improvement here. Can you just talk about what you're expecting and maybe if you care to share what you're seeing so far in the second quarter? Are you seeing that materialize, particularly for the BurgerFi brand as we go through the year?
Michael Rabinovitch: Yes. Hey Peter, it's Mike. Thanks for joining. Thanks for calling. Our guide for the year of low single-digit same-store sales is on a consolidated basis. And so when you realize that Anthony's comprises 70% to 80% of that same-store sales calculation, we're really looking at the Anthony's numbers. So the Anthony's numbers being up 3% for the first quarter is certainly in line with our guide. The improvement in the negative trend experienced by BurgerFi last year is also in line with our plan. So both of those would fold together nicely into supporting our guide of low single digits. Kind of answering the second part of your question, do we see that continuing through the year, based on the strength and the recovery and the initiatives in play, especially in Anthony's where a majority of the math supports our guide, that is how we built our plan for the year. Second quarter to-date is operating generally in line with the first quarter and still supporting that guidance.
Peter Saleh: Great. And then can you just give us a little bit more color on the commodity outlook? I know you talked about wings being more stable or maybe even down year-over-year for Anthony's. Could you give us a little bit more color on the decline there and also just thoughts on BurgerFi and beef costs for the balance of this year?
Michael Rabinovitch: Sure, sure. Good question. So on Anthony's, as you noted, chicken wings are a significant part of our food costs. And during COVID, they had risen from a, call it, somewhere in the mid-$2 a pound range into the high 3s. We started noting in the middle of last year that they were recovering to pre-COVID levels. And in the fourth quarter, they actually improved below the fourth quarter before pre-COVID level. So we started to get a really strong tailwind on our largest category of purchasing an Anthony's in the fourth quarter. We saw that tailwind continue in the first quarter, and we're seeing that tailwind continue in the second quarter. There's other lines, right? So Anthony's also has meat that supports our toppings in our meatballs. That has also behaved relatively well here in the first part of the year. But we also have some inflating items, whether they be our imported tomatoes and some of our dried goods. So the mix of it all is still a very significant benefit in the first quarter, and we are seeing that continue into our second quarter and hopeful that we'll be able to continue to have those tailwinds throughout the year. On the BurgerFi side, we are seeing some modest inflation in beef as we clip through the month year, January, February to March and April, but those rates are significantly better than we experienced last year. So on a comparative basis and even on a looking back to fourth quarter basis, we're still getting a tailwind on our beef procurement from BurgerFi. Is there as much confidence that we'll be able to continue that tailwind? Maybe a little bit less because we're starting to see a little bit of uptick, but that's very normal for beef. We've seen beef go up in May and June every year for the barbecue holiday season, and then it moderates down. So our outlook for the year on food cost has not come off our initial guide, which is a substantial improvement from 2022.
Peter Saleh: Understood. Okay. Maybe just a few more. Just can you give us an update on your pricing plans for the year. How much pricing do you guys have or how much price did you have in the comp in the first quarter? And are you anticipating taking more price as we go through the year?
Michael Rabinovitch: Good question. So first, on Anthony's, we took no additional price in the first quarter. We took a very modest price increase mid-second quarter recently, really under 1%. We did take some price increases last year at Anthony's, one in June and one in February, one in February, one in June. So in terms of how much price is being carried in the first quarter, it might be a few percent. It might be 2% to 4%. In terms of pricing actions going forward on Anthony's, we monitor it every quarter. We're certainly sensitive to our commodity costs and enjoying those tailwinds, but we also want to drive transactions. So we'll evaluate that 1 quarter at a time. On BurgerFi, the price increases we took last year were larger than Anthony's. We looked at our competitor set as to what our share of wallet, competitors and other better burger options we're doing, and we brought prices to the appropriate levels to be competitive with those brands. In terms of how much have we been carrying, I would say in the first quarter, it might be a good 6% to 8%. And we don't have any pricing actions at BurgerFi planned for this quarter, and we'll evaluate third and fourth quarter. There's a tie-in, Peter, to pricing but then promotions. So we use promotions to drive traffic and transactions into the stores. And so sometimes, those promotions can eat away at some of the systemic price increases that we've put in place. And that's why you don't necessarily see them in our same-store sales completely.
Peter Saleh: Understood. Thank you very much. I’ll pass it along.
Michael Rabinovitch: Okay, thank you.
Operator: The next question is from Mike Albanese with EF Hutton. Please go ahead.
Michael Albanese: Good morning, John. How are you guys.
John Iannucci: Good.
Michael Rabinovitch: Good. Thanks for joining Mike.
Michael Albanese: Yes, congratulations here on a nice quarter and definitely happy to see you reiterate your guidance. Just a couple of quick ones from me. I think just to kind of peel back the onion a little bit more on the unit level. You kind of -- unit level economics, I guess at both brands, you kind of get into the commodity and food costs. But any updates really in terms of labor efficiency, labor turnover? I know that's something we had talked about before.
Michael Rabinovitch: Yes. I think here in the first quarter and heading into the beginning of the second quarter, I think we've seen some improvements in turnover at the store level. What I would say is they're directional improvements. They're not material. They're not -- sorry, there's a train going by behind me. They're not at the point that they're driving the frequency change that the higher level of guest service would count. So we're seeing the needle move from increasing to decreasing, and we're very pleased with that. And we believe that as that trend continues, that those guest experiences keep getting higher and those frequencies go back up to where they were.
Michael Albanese: Got it. Thank you for the color. And then my next question, you guys have had some success in the past with the LTO offerings. And obviously, just using BurgerFi as an example, you're extending the Rodeo Burger. But any notable sales lift? I mean, I guess, what's the takeaway out of those LTOs? I'm assuming it's positive since you're continuing to kind of push those forward but...
Michael Rabinovitch: Yes. I think the feedback that our marketing and operations team is getting is that they're really welcomed. Our loyal BurgerFi and Anthony's, if you think about the Hot Honey promotions, our loyal customers are really enjoying and really, really appreciative of these diversity options. Are they really driving a sales lift in terms of incrementality? Probably not. They're probably not moving the needle, but they really give us a great platform to communicate with the customer and continue that love affair that they have with both of our brands.
Michael Albanese: Okay. Great. Yes. I got to -- I need to try the Rodeo Burger. That's on my list here. And then I guess lastly, just in regards to the franchise base, BurgerFi, what, closed four, opened two. I mean, what is your expectation in terms of further attrition within the BurgerFi franchise base? And then obviously, you transferred two of them from franchised to corporate owned. I'm assuming you like the location and thought that maybe those could be run a little bit more efficiently. I don't know. I'll let you add color to that, but I'm wondering if there's more room for that, essentially.
Michael Rabinovitch: Yes. So I'd say that the two additions that were transfers were very unique situations. We had a litigation matter with the former owner of BurgerFi and a significant shareholder. And as part of that legal settlement, we agreed to take that and own and operate two of the locations that he still had. He had a larger number, I think, six, but they had mostly closed during COVID, and he had -- so he was getting out of the business of that, and we agreed to take them on. It's nothing more than that. In terms of the overall health of the franchise base, you do see that there were four closed during the first quarter. But what I would tell you is that those four were terminations. They had actually closed in terms of business back in 2022. And so what we saw throughout 2022 and into the first quarter of 2023 is kind of the finalization, those terminations, franchise terminations of stores and franchisees that couldn't make it during COVID. If you think about our development plan for the year and you kind of compare it to our closings, we expect 2023 to be a net unit positive year, with openings 15 to 20, and we're not projecting many more closures. So we're expecting net unit growth and net revenue growth out of our franchise system.
Michael Albanese: Got it. Thank you, and that's a good segue, the 15 to 20 new venues. Obviously, you guys -- and I really like the strategy of opening locations and I don't know, we'll call it unique venues such as airports. I mean, of the 15 to 20, what percentage of that is a continuation of that strategy?
Michael Rabinovitch: From account perspective, John, in the non-traditional’s, do we have two to -- one to two in there?
John Iannucci: Yes.
Michael Rabinovitch: Okay. So one to two?
John Iannucci: Yes.
Michael Rabinovitch: In there, but we are in LOI. And as part of our development plan, you're going to see -- I would expect that you're going to see a larger proportion of our development being in these high-volume great brand exposure airport type locations.
Michael Albanese: Got it. Got it. Okay. And my last question and then I'll leave it for anybody else that wants to hop in. Just I guess very broadly, the franchise summit, and I'm glad you guys were able to get back and do that in person. I mean any major takeaways from that?
Michael Rabinovitch: I'll let John comment, because he really led that summit. I think that there were some very, very good intangibles that came out of it, but I'll let John...
John Iannucci: Yes, and thanks for the question, Mike. Thanks for being here. It's great participation from our franchisees and our corporate locations. It was our first in four years. And so I think we -- as we attempted to unify the brand, I would say we were pretty successful. We actually launched a summit survey following and received a lot of great results and feedback from the franchise team in regards to the direction of the brand and the initiatives for the brand and the enthusiasm and excitement about BurgerFi. And it was really good. It was really important, and it turned out to be, I think, a catalyst for what we expect to see for the rest of the year as far as excitement for the brand.
Michael Albanese: Okay. Great. Thanks for all that color and insight there. And again, congrats on a fairly strong quarter here.
John Iannucci: Hey, thank you.
Operator: The next question is from Lynn Orenstein with Drexel Hamilton. Please go ahead.
Lynn Orenstein: Hi, everyone. Thank you so much and congrats on the quarter. Can you please talk about the growth of your kiosk and your strategy there a little bit more?
Michael Rabinovitch: Yes, sure. So Lynn, thank you for joining, and thank you for asking the question. So we launched kiosks last spring in ‘22 as a test in three locations. Based on its success, we rolled it out to almost all of the corporate locations over the fall season. And some of our franchisees began adopting it in the fourth quarter. And the summit that John was just talking about, we actually got a number of franchisees who got to visibly see it that are in remote locations and had not engaged with it prior and are signing up for it. So I think we're probably at, give or take, about a 50% system-wide adoption of kiosk queues, kiosks being used in the restaurants. We consistently see a higher average sale because of the AI suggestive offerings that the kiosk system gives the consumer. And it's very interesting, if you take our kiosk penetration of in-restaurant orders and you add it to our first-party and our third-party ordering platforms, whether it be burgerfi.com or acfp.com or 1 of our delivery providers, we're at 60% to 70% digital revenue generation. So it's just another complement. Now I think that there's still more room to go. We'd love to see the kiosks becoming a critical element of all of our franchises. We'd like to see the customer experience continue to improve because the software on the kiosk is not fixed. It's something that we reintroduce and augment all the time. So it's a very good tool, and we're excited with it.
Lynn Orenstein: That’s great. Thank you so much.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Iannucci for closing remarks.
John Iannucci: Thank you, Gary. I'd like to thank everyone for listening to today's call, and we look forward to speaking with you when we report our second quarter results in August of 2023. Thanks again for joining.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.